Operator: Greetings, and welcome to RCI Hospitality Holdings conference call and webcast. [Operator Instructions]. It is now my pleasure to introduce Gary Fishman, who handles Investor Relations for RCI. Please go ahead, sir.
Gary Fishman: Thank you. For those of you listening to this call on the phone, you can find our presentation on the RCI website, click Company and Investor Information just under the RCI logo. That will take you to the Company and Investor info page, scroll down a little and you'll find all the necessary links for this call. Now please turn to Slide 2. I want to remind everybody of our safe harbor statement that's posted at the beginning of our conference call presentation. It reminds you that you may hear or see forward-looking statements that involve risks and uncertainties. I urge you to read it. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments that occur afterwards. Please turn to Slide 3. I also direct you to the explanation of non-GAAP measurements that we use and are included in our presentation and news release.And please turn to Slide 4. Here are comparable GAAP versions of 4 charts and tables that we'll be using in today's presentation. Finally, investors can meet management tonight at Rick's Cabaret New York from 6:00 to 8:00 p.m. at -- the address is 50 West 33rd Street between Fifth and Broadway, ask for me at the coat check. And I'm pleased to introduce Eric Langan, President and CEO of RCI Hospitality. Eric?
Eric Langan: Thanks, Gary. Thanks for joining us today. Also on the call, our CFO, Phil Marshall; and our Controller, Bradley Chhay. Before we start the call, I'd like to thank our staff for their hard work and effort they put in to make fiscal 2019 a great year. I'd especially like to thank our financial team and our new auditors for the long hours they worked, including nights and weekends, to get our filings done, and all of our shareholders who have continued to believe in us. Please turn to Slide 5. After the market closed, we filed our 10-K as had expected to do in February. We reported $181.1 million in total revenue for fiscal 2019, that's up 9.2% year-over-year and right in line with what we preannounced in December. We reported free cash flow of $33.3 million, that's up 43.3% year-over-year. EPS for the year came in at $1.99 GAAP and $2.31 non-GAAP. For the quarter, it came in at $0.05 GAAP and $0.48 non-GAAP. We had fiscal '17 and fiscal '18 reaudited in conjunction with the fiscal '19 audit. Our auditors issued an unqualified opinion for those fiscal statement or for those financial statements. We also resolved 4 out of 5 internal control issues and are now preparing our first quarter 10-Q for filing later this month. Looking ahead, we anticipate a strong fiscal '20. We already reported total club and restaurant sales were up 10% in the first quarter. In the second quarter, many of our clubs benefited from added business associated with the big MMA fight in January. Our 2 stop Florida clubs benefited from additional business associated with the pro football championship in February. We look forward to a good college basketball championship in March in New York and Houston. And we continue to expect to close our Northeast Corridor acquisition this quarter. The new Bombshells are doing well. That includes our newest, which opened in January, and we expect same-store sales and margins to continue to rebound. In addition, we have about $6.7 million in excess properties under contract to sell and even more that we are in the process of marketing. Please turn to Slide 6. Nightclubs segment sales were up almost 6% due to our Pittsburgh and Chicago acquisitions. We also had some same-store sales growth on top of a very strong fiscal 2018. Bombshells total sales were up close to 28%. New units more than offset same-store sales declines during the first 9 months. GAAP operating profit increased $7 million. This was due to improved performance in Nightclubs and Bombshells and lower other charges. This was partially offset by higher Bombshells preopening costs and higher audit and related legal costs. On a non-GAAP basis, operating profit increased about $1 million. The key factor was the improved performance in Nightclubs. Turning to Slide 7, the key thing I'd like to point out is the rebound in the Bombshells same-store sales at 19.4% year-over-year and segment operating margins at 9.3% non-GAAP versus 3.3% a year ago. Turning to Slide 8, as part of our efforts to sell up excess assets, we generated total proceeds of more than $8 million in 2019, most of it in cash. We used that to pay down $5.2 million in related debt and record $2.9 million in gains. As I mentioned earlier, we have approximately $6.7 million in 3 excess properties under contract to sell. And we have 5 remaining properties with about $9 million in market value that we plan to either sell or lease. When we close them, this should conclude the effort we started a few years ago to monetize all of our excess assets and the excess property we bought around some of our new Bombshells. Please turn to Slide 9. We're pleased with what we have been seeing in the Nightclubs and the turnaround that is beginning to happen with Bombshells. We still must work on corporate costs to get the operating leverage we had anticipated several years ago. That was when we installed our new enterprise resource planning, or ERP, system. We should begin to see some progress on this front in the second half of fiscal '20. That's when auditing and related legal costs should begin to fall on a year-over-year basis. Please turn to Slide 10. I covered most of this already but regarding acquisitions for fiscal '20, we are focused on closing and then integrating our Northeast Corridor acquisition. We've seen a few club opportunities that look promising but the club and the deal must fit our well-established parameters to make it attractive enough for us to pursue. Please turn to Slide 11. I'm pleased to report that with the opening of Bombshells 59 in late January, we have completed our 3-year plan to open 6 new locations in Greater Houston, giving us a total of 8 stores in and around the city. As you can see from this map, we have 4 locations in the populous areas between the inner and outer loops and 4 locations in the fastest-growing suburbs. All of our stores have a good 20-minute of freeway driving time between them. Turning to Slide 12. In addition to what we've accomplished in Houston, we have also remodeled our first Bombshells in Dallas, giving it a more of today's refined look and feel and more square footage. Based on the 10 locations we now have, we continue to believe Bombshells should have annualized revenue run rate in the $40 million to $50 million range by the end of fiscal '20. Our internal target is margins in the 18% to 21% range. As we sell or lease out excess property around some of our newer Bombshells, that should generate additional increases in store traffic as the property is developed. We haven't currently picked out any new locations and we are waiting to build up our management teams after opening 6 locations in such a short time. We want to evaluate the ROI on our investments as well. Please turn to Slide 13. We ended fiscal 2019 with $14 million in cash on hand. As I discussed earlier, free cash flow performed well. The conversion rate of 18.4% of revenues compares to 14% the year before we started our fiscal free cash flow -- our focus on free cash flow and capital allocation. That means we generated $0.18 every 1 dollar we took in. We also outperformed our stated goal of 10% to 15% annual free cash -- growth of free cash flow per share. We used some of that added cash in fiscal '19 and the first quarter of fiscal '20 to reduce our diluted weighted average shares outstanding more than 4% since fiscal 2018. Altogether, since fiscal 2015, we have spent approximately $20 million buying back shares. Turn to Slide 14 for our capital allocation strategy. We currently operate -- we're currently operating at a $30 million free cash flow run rate. It represents a 15% increase from our target rate of $26 million in fiscal 2019, 15% growth being more in line with our stated free cash flow goals. As a result, we've calculated our free cash flow yield graph to show $30 million against our current 9,258,000 share count. Our breakeven price point between buying back shares and focusing all of our excess cash on expansion is now about $32. In other words, based on where we are today, we would be comfortable buying back shares up to $32. To further that effort, we announced on Monday that our Board of Directors, based on our Q1 '20 -- or financial performance, authorized the repurchase of an additional $10 million of common stock. That brings our total available funds to approximately $13.8 million, and that includes the funds remaining from the previous authorization. Long-term debt on Slide 15. Even with the acquisition of clubs in Pittsburgh and Chicago and our build-out of new Bombshells, long-term debt was down $3.1 million from June 30 and up only $2.6 million from September 30, 2018. Please note that going forward, due to new accounting regulations, we have to capitalize leases and present them as long-term debt. That will start in the first fiscal quarter of 2020. Please turn to Slide 16. As we mentioned on the last call, our continual bank amortization drops $8 million in fiscal '20. This gives us plenty of room for the new $11 million in unsecured Centennial loan that we anticipate using for the Northeast Corridor acquisition, making that a 100% financed acquisition. Looking at the 3 major metrics we use to monitor debt, our maturity schedules continues to be manageable. Total long-term debt to adjusted EBITDA fell 3.1 -- to 3.1x at September 30, 2019, from a high of 3.38x on December 31, 2018. Occupancy cost for fiscal '19 were 7.8%, up a minor amount for the year -- or excuse me, from the year before, mainly due to interest expense on 2 new Bombshells that were substantially complete but didn't open until fiscal '20. Going forward, we continue to be focused on running the business. Looking at Nightclubs, our priorities are continuing to improve operations, finalizing and then integrating our Northeast Corridor acquisition and ensuring that any acquisition opportunities fit our parameters. Regarding Bombshells, our priorities are guiding all the new locations to ensure their success and continuing to grow same-store sales and margins at our older unit. In terms of asset management, we would like to close on all of our pending opportunities. We continue to be focused and we have the financial strength to grow free cash flow per share at least 10% to 15% per share through a combination of buying back shares, buying the right clubs in the right markets and of course, internal growth. Now that we have filed our 10-K, we are focused on filing our first quarter 10-Q later this month. With regard to that, I'm pleased to report the Audit Committee has appointed Friedman LLP as the company's independent registered public accounting firm for fiscal 2020. Operator, let's start the Q&A. And as always, I'm happy to talk with all aspects of the business but I appreciate if you understand I'm limited in what I can say when it comes to certain legal matters.
Operator: [Operator Instructions]. Our first question comes from Marco Rodriguez with Stonegate Capital Partners.
Marco Rodriguez: I was wondering if maybe you could start off on the Nightclubs. When you're wrapping up here in your prepared comments you were talking about improving operations there for the existing clubs. Maybe if you can just provide a little extra color as far as what sort of improvements you're looking at. And are those improvements, revenue-generating-type improvements? Or are there some sort of operational aspects that might be able to drive margins a little bit higher with the same revenue base?
Eric Langan: I mean it's a little bit of both. Obviously, depending on which markets we're in, some markets are more competitive than others. We're working on those things. We're also always working to put more people and more seats. So the new St. Louis Club, after the fire, the remodel, we made some improvements there. We're also looking at some of our other, I won't say underperforming clubs, but just clubs that we think that can perform a little bit better. The nice thing about our industry is once all the fixed costs are paid, every dollar we do on top of that has very large incremental margins to those dollars. And so that's really what we're focused on as we move forward.
Marco Rodriguez: Got it. And in terms of the acquisition landscape for the Nightclubs sector, obviously, it sounds like the tuck-in acquisitions are a little bit more in your lane, at least in the near term. Maybe if you can talk a little bit about the valuations that you see out there right now. Anything sort of interesting that might be on the front burner versus the back burn in fiscal '20?
Eric Langan: To be honest, we're not really out looking for stuff right now. They're coming to us. Sellers are calling us, brokers are calling us, and we're looking at the deal on a deal-by-deal basis and seeing what fits best for us. We're sticking pretty close to our 3x EBITDA, unless it's a special such situation, special license and club or limited competition market or very special market where we might expand closer to 4x. We're just -- like I said, we're just playing it tight right now. We've got our growth in for this fiscal year over last year on our target growth rate of 10% to 15% so we're not taking big chances. But what we're looking -- and there's a lot of stuff. I'm really amazed at the amount of stuff we're seeing and people we're talking to right now that are at least kicking the tires. I don't think they're all serious sellers right now. But I think they're kicking the tires kind of trying to evaluate and plan for their futures. So it's looking very good for us on a go-forward basis.
Marco Rodriguez: Very helpful. And then in terms of the -- again, the Nightclubs, just kind of give us your thoughts here as far as same-store sales expectations as we look into fiscal '20.
Eric Langan: Well, '20 is going to be a little better than '19 because we have Super Bowl in Miami this year. We've got some other sporting events that are, I think, are going to be pretty good for us, including the NBA All Star Game in Chicago, which is going to help that location. There's a couple of big fights, MMA fights that have happened that I think are helping sales, and hopefully, there'll be some more of those as well. As we get through the basketball season, we'll see how some of our local teams are doing there for playoffs and whatnot. But overall, we're very excited about the prospects of 2020 for the clubs.
Marco Rodriguez: Got it. And last quick question, if I might. On the Bombshell side, just wondering if you can maybe talk a little bit more as far as framing that opportunity there. There's obviously been quite a different, a lot of different strategic direction changes, if you will, from a potential franchise model to a regional model to just a focus on Texas at the moment. And I understand in your prepared comments you're looking to add some more people, some more headcount to that. Just kind of give us your thoughts as far as what you're sort of expecting for that particular business in the fiscal '20. What might be sort of the plans longer term. And then any sort of expectations that you might be able to talk about in terms of same-store sales for Bombshells would be helpful.
Eric Langan: It's been a learning curve for us with Bombshells. Something we start out -- we knew the bar side of the business, we weren't as familiar with the food side of the business. With some learning curves with our location choosing in the beginning where we did those -- that store in Wester that didn't work out for us as a B location. I think we've learned from all those things. We've been studying and learning the market better. We put the horse in front of the -- or the buggy in front of the horse when we worked on franchising, we started a little too soon.  Now for the real time, I think we will start seeing franchise interest as we reach -- from what I've seen in the past, most of our franchise now, we studied a little more, most franchises start out when their base companies are between $50 million and $100 million of revenues. I think we're going to be in that -- pretty close that right now or we may need to add a few more locations, maybe in '21 or '22 even, to get the franchising really going. We have been talking with more franchisees than we have in the past. So we're getting more interest as it continues to grow. So that is definitely going to be part of our plan in the future, the franchise locations. But I don't think it will stop us from company-owned stores either. We will -- if we can hit the margins that we think we're going to hit and with the bank financing that we're doing, the cash-on-cash returns are just too high on these Bombshells. But we're going to wait. We're going to prove it all out over the next -- probably the next two quarters. You'll see it as we move through the end of March and then through the June quarter, I think you're going to see some pretty impressive numbers coming out of the Bombshells based on the new stores openings and some of the numbers the new stores are doing. We figured out the primary locations. We're getting the traffic counts. We're realizing what complementary other restaurants we'd like to have around us that basically complement our business and add to our business. And I think we're getting pretty good at it. And I think that will start to show in the numbers as we report our October-December numbers here at the end of this month. And then in May, when we report these January to March numbers, and then definitely by August, I think you're going to see the trends in a much more positive light for the Bombshells.
Operator: [Operator Instructions]. Our next question is from Darren McCammon with Cash Flow Kingdom.
Darren McCammon: Okay, you're not going to be able to answer this, but I got to ask it. Anything you can tell us about the SEC investigation?
Eric Langan: We're continuing to cooperate. That's what I can tell you. It's ongoing, we're continuing to cooperate. We've cooperated from day 1 and we'll continue to cooperate.
Darren McCammon: Fair enough. On your free cash flow guidance, kind of curious why you're using $30 million for your free cash flow on your chart, your buyback chart, when you actually did $33 million already?
Eric Langan: Well, we had some tailwinds last year, including some tax benefits from last year that I don't know for sure we're going to have this year. So what we did -- and we're not really giving guidance, what we're telling you is this is our run rate. Currently, the $30 million is our current run rate based on all things being the same from today forward, we figure we'll do about $30 million in free cash flow for the year. As we get more financial data through the first quarter, second quarter, that may be subject to change. And at some point, we may actually give guidance or a target of some kind. But at this point, we're just not in a position really to give any type of target or guidance or anything. We just wanted to make sure that our investors understood our current run rate.
Darren McCammon: Okay. So when you say run rate, are you mostly taking Q4 numbers?
Eric Langan: Yes, we're taking 2019 numbers and taking our projections for 2020, a little bit with some of the new stores that are opening and saying, all things being equal, without the tailwinds, without the tax benefits, the tailwinds from the AP changes in working capital and whatnot, that our run rate is about $30 million.
Darren McCammon: Okay. I saw your SG&A was up about $1.5 million this quarter over last quarter. Is that something I should expect to continue? Or is that one-time because of audit, et cetera?
Eric Langan: I think we'll see a little bit of it in the first and second quarter of this year and then it will start declining in the second half of 2020 as we're through with some of the legal expenses regarding the internal investigation, the SEC stuff, the reaudit, 3 years' financials, those types of things. There's a lot of additional legal and accounting costs in our numbers that I think, hopefully, it will start winding down as we get into the second half of the year.
Darren McCammon: Okay. And you gave us $14 million in cash in September, can you give us an update on that?
Eric Langan: I don't have it today, sorry.
Darren McCammon: You can't blame me for trying. Okay, so the last question is blackout. Are you guys in blackout until you report your December quarter?
Eric Langan: I don't know if we're in "blackout," but we will -- yes, we will not be buying any stock in the open market until at least three days after we get our financials out.
Darren McCammon: So the December quarter financials?
Eric Langan: Yes, which will be later this month.
Operator: Our next question is from Yaron Naymark with One Main Capital.
Yaron Naymark: Congrats on getting this K filed. I guess the first question I have, since you guys are pulling back on some of the Bombshells locations, should we see reported CapEx this year step down closer to what you define as maintenance CapEx? And if your run rate is $30 million of free cash flow, I guess, should we actually see $30 million of cash flow from ops less CapEx this year if that's the case?
Eric Langan: I think you're going to see the numbers get closer. But keep in mind, as we buy new acquisitions, some of that investing CapEx -- we may have some investing CapEx that will go in there. If we were to, towards the end of the year, buy additional properties or whatnot or make some additional investment, of course, depending on what our stock price is doing, that would affect it. But yes, I think you're -- all things being if we did no expansion, yes, they would be the same number, right, if we'd have no investment CapEx, we'd only have basically stock buybacks or our cash we continue to build on the balance sheet. So then the 2 numbers would be the same. I don't look at investment CapEx as a cost to the company, that's a redeployment of the free cash flow that we generated for the year. And that's why we only use maintenance CapEx as a deduction from free cash flow. Because if we did no further investment, the cash will just build up in the company, and therefore, we've generated that free cash flow. And so -- but maintenance Capex is that money we actually spent on maintenance or repairs of existing assets. And that's why we deduct that from our operating income.
Yaron Naymark: Right, right, right. Okay, that makes sense. And then the other question I had was, I guess, how is the relationship with your new auditor? And given all the changes in technology and procedures you guys have implemented recently, do you feel like you have enough checks in place now to catch any of these future disclosure requirements before they pop in, I guess, again?
Eric Langan: On the disclosure side, absolutely. I mean there were no financial -- really nothing significantly financial or material on any kind of financial numbers. Our financials have always been solid. Some of the disclosure stuff was -- we didn't know what we didn't know. We hired what we thought was a big 6 firm, top firm, that was going to bring us into the 2020s and grow with us. Unfortunately, that's not what happened. I will say with Friedman, they're tough, they're hard, but they're fair, and we've been able to, I think, create a very good working relationship between their staff and our staff and their management team and our management team, and I look forward to getting through fiscal 2020 now and continue to see the relationship evolve. We've hired a third-party internal review company who really helped us get all of our systems in place and put everything to get rid of 4 out of the 5 material weaknesses.  The remaining material weaknesses in financial controls and reporting is because we had some disclosure issues that we missed as you know from the August 8-K, we're still working through most of that. In order to remove a material weakness, you have to have 12 full months of no issues. So I'm hoping we get through 2020 with no issues. We do have a Chief Compliance Officer. We have a Disclosure Committee now that is reviewing multitudes of transactions every quarter to make sure that we don't -- that we don't miss anything going forward. So I think we're in a much better shape. We have a much better understanding of what's required. I think that was the biggest thing. I guess, we didn't know what we didn't know.
Yaron Naymark: Right. And I guess the last question I have actually is so if you guys generate, I don't know, $30 million of free cash flow this year and you have a bunch of that before all these asset sales you have earmarked, and if you end up selling not only the ones you have earmarked, but the ones that, I guess, are for sale now. I mean in theory, are you able to deploy -- you have some debt amortization payments. But in theory, you should be able to deploy either for debt pay down work for growth, more than $30 million this year between debt pay down and either buybacks or growth CapEx? Is that the right way to think about it?
Eric Langan: I have to look at everything, but probably closer to the $24 million to $25 million range with the current sales. We would have to pay down debt. Some of the properties have debt against them. We have to pay down some of the debt.
Yaron Naymark: Right. But if you account debt paydown as capital deployment, I mean between debt paydown and some of growth investments?
Eric Langan: Yes, we'll have -- I think we'd have more than $30 million if we include the debt pay down, yes. I mean, for sure, we're going to have $30 million plus. You've got to remember, all the other stuff shows up below the operating income line for the -- on the asset sales. That goes into other. So it's below the line. So that's not really included in our free cash flow numbers. I know that -- out of the $6.7 million, I know 1 property is owned free and clear, which will net us about $2.16 million in cash, that's scheduled to close March 17. One of the other properties, there's a small loan on. I know we're going to get some cash. I don't know how much, maybe $400,000 to $600,000. And then the other property, I remember enough on. I know there's a small loan on it as well. I just don't know what's left because that was a property where we sold 1 of the pieces already. So I have to see what's left on that loan.
Operator: [Operator Instructions]. Our next question is from Adam Mikkelsen with Cooper Capital.
Adam Mikkelsen: So my question is really just a follow-up to that last one that if you use the proceeds from these asset sales and you've got some mandated debt paydowns, are you then able to redraw that under your existing bank facilities or your line? Like, if you're reducing debt, does that then increase your availability for other uses?
Eric Langan: I think, certainly -- I mean, obviously, we don't have an actual line of credit, so to speak, but we've been able -- so far, anything we've asked the bank for, we've been able to get. We do have some small regional banks in Texas that we basically have paid off in full with some of these refinances. So -- no, I mean, I haven't really looked to borrow money other than when we need it and we've been able to -- and so far, we've been able to get money anytime we've needed it. I think that the reality is, we're down to about 3x debt-to-EBITDA. I think that the reality is because we own so much of our real estate that as long as we don't go over 4x, I think we're pretty -- it's pretty safe borrowing for us, especially if we're borrowing to add additional EBITDA. So that's kind of where we've -- if you look, we went up to about 3.38x and even though that's up a little bit, the ratio is down. And that's because we added -- we were able to add additional EBITDA that's bringing that down. And as we move into the full year and we have the 2 new Bombshells actually contributing, both those Bombshells, by the way, were our most expensive units to date. They are both very, very prime A, like they're probably -- they always say the 1% of 1%. I think these are both in the top 10% of the 1% when it comes to locations. Both stores are performing very, very well, 2 of our best opening stores ever. And I think they're both going to continue to do very, very well.  They're both in very, very high traffic areas. They're ones next to the top location for two other major chains, they're top-performing in their chains. I think it's going to be our top-performing in the Bombshells chain as well. And the newest location that we just opened is on the busiest freeway in Houston in a super busy intersection. There is some construction going on north of us that may affect us for a little while. But it won't matter. I mean we're -- it's actually helping us because we'd be probably too busy at certain times without it right now. So very excited about them.
Adam Mikkelsen: And so with this borrowing base, Eric, like, on the -- this Northeast acquisition where you're able to just have no money down. Are you able to go to a variety of banks and kind of get best pricing from them? Do you just go to Centennial and ask them to increase the amount that you're borrowing? How does that work in terms of being able to structure these deals with 0 money down?
Eric Langan: As you know, I'm a relationship guy, and we have a great relationship with Centennial. As long as they're fair and I believe -- when you start talking about 7% unsecured money and 5.5% 20-year amortizing real estate debt money, that's what we're getting quoted at other banks. So I wouldn't say we didn't, like, officially shop it. I mean I unofficially made some phone calls just to see -- to make sure their rates are in line with what I'm being offered from other banks. And they always have been, they're easier for us to work with because we've done so many deals with them now. We do have other banks that are interested right now in maybe doing a big refinance package for us. Our next big refinance pack will happen in November of '20 when the Chicago and Pittsburgh properties become two years old because we want to -- we'll probably want to pay those [indiscernible] off and refinance. Most of the Bombshells will have been operating for between 12 and 24 months, so we'll take all those properties and just combine them all into a single real estate loan like we did back in 2017. We'll look to see what type of equity we can pull out at that point, which should give us another little war chest for acquisitions or stock buybacks, depending what the stock's doing. And then I think we'll be set again to basically rebuild over the next two years or three years and hopefully, build or reload and do it again. 
Operator: Our next question is from Steven Martin with Slater.
Steven Martin: I know earlier in the call you talked about the Super Bowl and the MMA fight that occurred. Can you give us some idea of what that -- what those mean either to the clubs, the restaurants or both? And does it matter where they're located or who the home team is or whatever, I don't know -- go ahead.
Eric Langan: Yes, the MMA, I mean, it doesn't matter where MMA takes place because people watch them on pay-per-view. And we've put the pay-per-view, it would speak for Bombshells and we show it -- I want to say we -- some of the great fights were shown at 19 locations. I'd have to check, go back and check to make sure, but -- so it's significant for us. And it's also significant for some locations we don't show that because they're after-hours club. So they -- it wouldn't do any good to show the fight because nobody goes to that club until after the fight's over. But more people are out at night, so clubs get more busy because people are already out. So that's been good for us. With the football championship game, we had what I consider the 2 best possible scenarios based on -- our 2 best teams based on the scenarios out there on fan bases and dollars and whatnot. Kansas City sells out a 78,000-seat stadium when it's 40 below 0. So those are some dedicated fans. We've seen a really nice bump at both of the Florida clubs up a considerable amount over the previous year. So that will definitely help our February numbers.
Steven Martin: And does Bombshells -- so Houston didn't make it to the Superbowl, did Bombshells -- because you do have 10 restaurants in Texas, did Bombshell see a good bump from the Super Bowl?
Eric Langan: We did from the Superbowl and from the playoffs. And are actually getting some interest from the XFL right now, where some people are coming in and watching the XFL games for opening -- the opening weekend. So that looks promising for us. And that will be new revenue that brings people in on Saturdays and Sundays that -- in the afternoons that -- during the offseason that weren't coming last year. So hopefully, that will help us some comps -- with our comps as well.
Steven Martin: Right. And I guess for the NCAAs, last year, you had the finals, and this year, you have the two regional finals -- two of the four regional finals?
Eric Langan: Yes, I think we might see a little drop in April because remember the finals last year were in April, and the games this year in New York and Houston will all be in March. So it should help our March numbers a little bit. And we may see a little drop in April, but I'm not really concerned with it. It wasn't a huge bump. It was -- definitely was a bump in Minneapolis, but other than that it wasn't a huge bump any place else so it shouldn't have that much effect in April.
Operator: [Operator Instructions]. There are no further questions registered at this time. I would like to turn the conference back over to management for any closing remarks.
Gary Fishman: This is Gary. Thank you, Eric. We've included a few supplemental slides in our Appendix. For those who joined us late, investors can meet and talk to Eric tonight at Rick's Cabaret New York, from 6 to 8 p.m., 50 West 33rd Street between Fifth Avenue and Broadway. If you have an RSVP, to ask for me at the door.  And on behalf of Eric the company and our subsidiaries, thank you and goodnight. As always, please visit one of our clubs or restaurants. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines at this time. Thank you for participating and have a pleasant day.